Martin Fewings: Okay. Good morning, good afternoon. Thank you for joining us here today, either here physically or online. Welcome to our 2025 financial results. Presenting today from Glencore are Gary Nagle, CEO; and Steven Kalmin, CFO. Gary, I'll hand over to you to begin.
Gary Nagle: Thanks, Martin. Good morning, those in the room, morning, morning and good afternoon, good evening, wherever you are dialing in from around the world. Thank you for joining us for our 2025 year-end results. We're going to follow a similar format to how we follow each year. Martin's got a good formula on the presentation, and I think it works very well. So we'll kick off as we normally do with our financial scorecard and where we ended the year. A very good year, particularly how we started the first half of the year. We stood here this time last year, and we said the first half of the year would be a weak year or a weak half year. It was a weak half year. We finished off very strongly. Those who are here for the CMD will remember the presentation that we gave and some of the updates that we gave then. But we finished the year off very nicely, a $13.5 billion adjusted EBITDA for the year, made up across the business. On the industrial side, close to $10 billion adjusted EBITDA, very pleasing result. The main thrust of that came from the metal side of the business. In particular, copper had a very good year. Zinc had a good year. You've seen in the second half of the year, prices were much higher, our production was much higher. I'd like to say that we did that on purpose, that we slow played the first half and got ready for the contango in the second half of the year. I won't take credit for that, though. That wasn't us, but it did work in our favor, so sometimes better lucky than good. So a particularly strong year in metals, particularly copper, zinc, byproduct from gold kicking through in the second half of the year from our zinc operations. So a very pleasing results in metals. On the flip side, the Energy side and Steelmaking coal, a bit weaker. We saw prices were lower, particularly the first half of the year. It has been a tougher environment we've seen for steelmaking coal. Fortunately, we produced a higher quality -- higher quality both steelmaking coal and energy coal, and we're still able to be very cash generative through that business. The second, probably the last quarter of the year, things looking a bit better and even into this year. We've seen this year, things in both steelmaking coal and -- or prices in both steelmaking coal and energy coal looking stronger. Energy coal driven largely by Indonesian cuts on exports, which has lifted prices above $120 a tonne out of Newcastle. We're very pleased with what we're seeing out of Indonesia. And in fact, as Glencore, we're always want to try to stay ahead, and we may even consider our own cuts despite the higher prices, we may even consider our own cuts to continue this momentum in the market. We're very happy to see Indonesia doing what they're doing. On the steelmaking coal side, price is also higher. We've seen spot prices up to $250, the forwards in the $220s, all look very good. It's largely driven by some weather impacts in Queensland as well as stronger steel demand and steel production out of India. So that brings -- that resulted in a very good result for our -- on the industrial side, as I said, close to $10 billion of adjusted EBITDA. On the marketing side, also a strong year. You'll remember our old range of $2.2 billion to $3.2 billion, and we're always at the middle of that range of $2.7 billion. Steve explained how we adjusted the range last year. We're now back in the middle of the new range, so higher than the middle of the old range. And remember, the new range or the new earnings excludes any Viterra trading profits that we had back in the day. So if you look like-for-like, it's materially higher than what we were achieving previously. So $2.9 billion adjusted marketing EBIT for the year, again, that was driven largely on the metal side. Copper had a number of opportunities. There were trade dislocations. There were regional arbitrage opportunities. We had a very tight concentrate market. It's all playing in, and that was not only in copper, but in zinc, all playing into a very strong trading set for our metals business during 2025. On the Energy and Steelmaking coal side, a weaker trading set available. It wasn't that -- it wasn't -- we know the prices were lower, but the trading set available to us was not there for us. So it was a year of more risk off. Pleasingly, we did see those opportunities coming back in the second half of the year and in particular, from about September, October, things came back. And second half of 2025 over the first half was annualizing closer to where we were for 2024. So -- and we started this year off nicely as well. So on the energy side, we're seeing things coming back nicely during the year. Our operational scorecard, this is a new slide on our key commodities and where we've landed up. Very solid performance. 2 years in a row, we've now achieved our guidance across our key commodities. We -- Steve and I did our roadshow in August last year, our midterm last year, interim results last year. And needless to say, I think 99 out of 100 people would have said there's no ways we would be able to put up a slide like this. So this slide is not a slide to say I told you. So, it's more a slide to call out to our operational team. Xavier is here in the room. Earl Melamed is here in the room. He runs our coal business. It's a shout out to Jon Evans. It's a shout out to Suresh. It's a shout out to Japie. It's a shout out to Colin, and our entire operational team. They assured us, they assured Steve and I, they would meet our production guidance, and they did. So it's a shout out to them. I certainly hope other than Earl and Xavier, none of them are watching this, and they're out in the field doing what they should be doing. But I think this is important for us, where we're reestablishing ourselves as reliable operators, ensuring we deliver what we say we're going to deliver. Moving on to our portfolio scorecard, and we're going to talk about copper first. We'll get on to some of the other parts of the business in a second. We were here in December in this room on these very comfortable chairs. We made you sit for 3 hours. We won't make you sit for 3 hours today, don't worry. But we just thought we'll give you a quick update on where we are and some of the projects that we outlined during the copper -- it was mainly a copper presentation. We obviously covered a lot of the rest of the business, but copper was the theme, the main theme of that presentation. And we've had some nice advancements in many of those projects. You'll remember our graph that we put up where we'll see growth back to our base 1 million tonnes a year of copper production. We'll then grow to circa 1.6 million with the potential to go well over 2 million tonnes, depends on which lever we pull, and we have a number of levers we can pull, and that's the joy of our business. We're not relying on one or two different operations, multiple levers to pull, and we can be able to -- we are able to increase production far in excess of where we are now and even above the 1.6 million tonnes, if that's what we want to do by 2035. So working from left to right through the various projects. Antapaccay, as you know, is our great operation in Peru. We've always spoken about the extension and expansion in Coroccohuayco. The entire region is a very highly mineralized region. We were able to complete the acquisition of Quechua, which is just adjacent to Coroccohuayco and Antapaccay. And that gives us two benefits. The one benefit of that is it's very highly mineralized, and that could be an extension of Antapaccay in the same way as Coroccohuayco is an extension of Antapaccay. So we may choose to go into Quechua before we go into Coroccohuayco. That gives us huge optionality just within that area. It also gives us optionality that if we do build Coroccohuayco first, we have access through the Quechua deposit back to the Antapaccay -- pit in the Antapaccay concentrator. So we no longer become ransomed around any land or issues around Coroccohuayco. It's a huge unlock for us, very pleasing result, very big step forward in the Antapaccay region. In the DRC, we signed a non-binding MOU with the U.S. government-backed Orion, CMC. I was in D.C. 2 weeks ago to sign that. We had the Deputy Secretary of State there. We had the head of the DFC. We had a number of officials there. It's a very exciting opportunity. What does this do for us? Firstly, it's a big confidence boost for the DRC. The DRC, we've always said is a good country to operate in. It's a good country to invest in. Does it have its challenges? Yes, every country has its challenges. But this shows that this is a country that's open for business that companies are ready to invest in the DRC. It also shows how important the U.S. is or how important critical minerals are and the DRC is to the U.S. that they are backing a company like Orion to invest in the DRC. So that's great. And lastly, it's a nod in our direction about the value and quality of the mines that we have there. We've got a circa $9 billion value on the two operations we have there, KCC and MUMI, which is something very -- we've always said because of the quality of the deposit and the great way those -- the mines develop, there's a long life, high value proposition for Glencore in it and this has proved through that time. So very exciting opportunity for us, still early days. It's a non-binding MOU, but work has already started on that. The other thing -- the other exciting news out of the DRC is at KCC, we've been talking about land for -- Steve, 6, 7 years now? Maybe longer. Yes?
Steven Kalmin: 5-plus years.
Gary Nagle: 5-plus years. We've been talking about the land. We've been promising it for 5-plus years. We've now finally delivered. Thank you to our partners, Gecamines, great partners. They were able to unlock the land packages that we need. And what does that do for us? That allows us to be able to expand the mine, as we've always said and how we explained when we sat here in December. This takes the mine back up to around 300,000 tonnes of copper per year. It takes the life of the mine well into the 2040s. So very exciting opportunity. That land gives us the chance or the infrastructure, in fact, for dumping, for tailings, for power lines, all the sort of infrastructure that will support the existing pit, be able to push the pit back and make that operation or run that operation as effectively and efficiently as we can. Moving to Argentina. We have two RIGI approvals in place -- underway at the moment. One is for MARA, one is for Pachon. Both are going very well, very constructive and good dialogue with the Argentinian government, sharing a lot of information. We expect the MARA RIGI to come through before the Pachon RIGI. It's just the way they're sequencing it in terms of resource and able to manage the number of RIGI applications they have. Very exciting. We expect to have -- I mean, with some luck, we'll get the MARA in the first quarter, but we're being a bit conservative here and saying we'll definitely have it in the -- we expect it in the first half and Pachon will come soon after that. We've also started our work on Alumbrera, which, as you know, is an enabler for the construction of MARA led and the development of MARA, and we expect first production in 2028 in Alumbrera. NewRange is the joint venture we have with Teck or soon to be AngloTeck in Minnesota. Unbelievable deposit. The resource base through work that we've done and the extra drilling with Teck, we've increased that resource base by approximately 1 billion tonnes. This now is a bigger resource base than resolution. It's a bigger resource base in Pebble. It's -- in fact, not only that, this is a deposit that is lower capital intensity than both and quicker to market than both. So very exciting. Like the others, it also has some permitting challenges. But fortunately, we're moving through those quite well. We've met with the Governor of Minnesota, very supportive of the project. We've got a good team operating there, and we expect to unlock. I think we've got 20 or 21 of the 23 permits we need for the first phase. So moving along nicely, and that will be a nice project once we get that fully approved. Some of the rest of the business, we've done some monetization. We've done some portfolio optimization, some portfolio simplification. Century Aluminum for the Americans, Century Aluminum for those this side of the pond. We've sold a part stake of our shareholding in Century. It's a great company. Jesse runs a great company. We're very pro the company. We want to maintain a meaningful stake in the company. But we felt that owning in the 40s, 45%, 46%, whatever it was, didn't really make sense for us in terms of being able to use that cash and recycle it into other very high IRR opportunities. So we've taken some money off the table with Century, but we do remain committed to the company at a reasonable shareholding level, but we'll be able to take that money back in, reinvest that at 20-plus IRRs, great for shareholders, great for returns, and you've seen the returns that we've announced today. Portfolio optimization simplification, a number of initiatives underway. Japie in South Africa is doing a lot of work on the power tariffs with the South African government. The South African government is very supportive, great government to work with, looking to find a solution. We've announced that Lion has reopened under a temporary tariff relief, and we're looking to open two other ferrochrome smelters in South Africa, if we get this tariff relief from the government by the end of February. We're more than hopeful, we're confident that we'll get that. As I say, the government has been very supportive of that. And that would put our ferrochrome smelting business right up there being internationally competitive with the rest of the world. Pasar smelter, we've -- you'll remember when we put that on care and maintenance, that obviously comes with a cost with it. We were able to sell that to a local Filipino business. We've moved that off the books. It means it takes less management time. And clearly, we don't carry any of the ongoing care and maintenance costs. And even something that perhaps you wouldn't have known about, but we have a big port or we had a big port on the Cienega Coast in just near Santa Marta in Colombia. We built that port to service our Prodeco mines back in about 2010, 2011. Given that our business now has moved entirely to the La Guajira and we don't have operating mines in Cesar anymore. This was a port that wasn't really -- was being underutilized, didn't -- costs were -- the normal cost of keeping these ports operating even for very small volume didn't make sense for us. So we've sold that, again, funds back into Glencore and reinvested into the business. So that's left us in a very strong position. Balance sheet, very strong. We've declared a dividend today of $2 billion back to shareholders, very cash-generative business, very strong and very happy with the first half -- for the 2025 results. And with that, Steve will take you through the financial side.
Steven Kalmin: Good morning all here, and it's great to be back presenting I would say, very clean and positive results and very good momentum in the business. What we've done on this particular chart, and we'll cover almost all these numbers later on in the presentation, is to just separate out H1 and H2, just to show the significant momentum and positivity and performance that's now going through the business and continuing on into 2026 when we show some of the spot illustrative cash flow generation and EBITDA in the business. We just ran out of a little bit of runway to catch up on 2024, another month or 2 months, and that minus 6% would have been zeroed out, would have gone positive at the rate of EBITDA generation in the second half. So you've seen a 50% increase half-on-half across the whole business. Industrial was plus 65% and even marketing, which expect that to obviously be a more constant business throughout, had a strong second half performance as well. So very good across the business. We'll look at the variances and the like. Net funding, having been here 6 months ago at $14.5 billion, explained the bridges to where we were. So the pathway towards, sort of, back to $10 billion. Here we are back at that particular level where we started the year, notwithstanding having paid CapEx distributions during the year and continue to invest within the business as well. RMIs, you would expect in this pricing environment has gone up. Copper would have been the biggest contributor there. Start of the year was at $8,600 on copper, finished the year about $12,400 or so. So that's a 44% increase. We do carry units across copper and aluminum and nickel and zinc, but that was the biggest impact across the $3 billion increase that we had across the RMI and then strong metrics generally, as I said, we'll cover off all these levers. But even second half annualized over $16 billion, and you'll see it spot illustrative numbers later on at $18 billion plus or so. So strong momentum across all parts of the business going into '26. If we look at the industrial side, Gary has given largely the reasons it's well chronicled within the financials itself. It was a strong performance, particularly on the metal side as we picked up $6 billion to $7 billion. That was the zinc business, second on the podium. Both in its own right in terms of business, zinc prices and the likes, but gold definitely has a significant kick up, particularly at Kazzinc. But the year-on-year increase on zinc business of that $1 billion was $800 million just from zinc, of which $500 million was Kazzinc. And the copper business having had a slow start for the year, both in the production and general contribution sense did pick up year-over-year in financial performance, notwithstanding the inability to sell much cobalt during the year, which does delay the generation of earnings, cash flow and contribution from that business. But it has been supportive for cobalt price itself, which will help even delivering units under the quota system, and we do produce some non-DRC cobalt as well out of Canada and Australia specifically. So that's clearly helping there as well. The coal business, Gary had spoke about those. We'll see on there -- in the waterfall bridge on the next slide, you'll see where the different elements of the business come through. But the momentum clearly in the business is, you can see a $9.9 billion industrial EBITDA across the business. What we'll see later on, spot illustrative is at $14.6 billion, and that's all elements of the business picking up momentum in terms of production, cash flow and the like. So our metals business at $7 billion is now spot illustrative at $11 billion. So we've got $4 billion plus there. And the energy business lagging in terms of that recovery, we do need prices to move a bit higher to have that sort of back kicking as it's done in the past clearly. And it is -- it's performing well, but it's an earning sleeper at the moment within the business, and we do see potential from that given some positive constructs in both those markets that Gary had spoken to. So $3.7 billion last year on the energy at the business, spot illustrative is now at $4.2 billion. So it is picking up and second half performance was a little bit better. I think the waterfall bridge, if we go to the next slide, of course, there as well. So how do we go from $10.6 billion up to $9.9 million. The negative graphs, particularly on the pricing belies the underlying components of significantly weaker on the coal year-on-year variance, which was actually negative $2.4 billion. Metals was a positive year-on-year variance of $1.9 billion. And we're closing sort of even at the half year when we're here, that was a negative $1 billion year-on-year. It's closed the year at negative $0.5 billion. So if you plot the two periods, you've had positive momentum build back into price variance. Of the metals, $1.9 billion, the copper business contributed $1 billion of that. Copper prices -- average prices were up 9% year-on-year. Zinc was $0.8 billion. And even the little custom met assets, which were, not saying they're doing well, but there was a slight performance in the business through particularly zinc TC/RCs were a little bit better. And we do recover quite a bit of free metal out of our custom smelting business, and that free metal tends to be in the precious space. So whether it's some PGM, gold, silver, we do pick up. There's probably a couple of hundred million that got picked up year-on-year. On the volume variance of $0.9 billion, that was effectively all on copper being down 11%. We'll see later on, Collahuasi the main contributor. We dropped 68,000 tonnes year-on-year at Collahuasi from 178,000 tonnes this year to 246,000 tonnes. I think Collahuasi's story during the next year or 2 years is being well chronicled. We're going through a low phase this year, pick up a little bit now in 2026, and then you see a snapback in 2027. That is a high-margin business when it's clearly kicking in. So when you're not getting those tonnes, it does lead to quite a volume variance as well. The other impact was the lack of cobalt sales, which for us flows through as a volume variance, supportive for the market longer term, we support the initiatives of the DRC government in rebalancing and restoring value within that particular commodity given the sort of market share, we'll start seeing the benefits of delivering into the quotas this year significantly up on 2026. The cost variance at negative, actually pretty pleasing, frankly. That's not easy to deliver an outcome there. There is inflation, just general inflation. There is some even input cost inflation that would exceed normal inflation levels. We see it in some of our Australia, the Murrin operation. You saw high prices across sulfur, ammonia. You've seen labor, energy, maintenance in place like Kazakhstan is a little bit up above normal inflationary levels, reagents, asset costs within DRC. It was also fairly sort of tight markets. And of a $40 billion cost base that we have across our industrial business, just 1% on that is going to move you up -- is going to move you up $400 million. We've been able to neutralize that to 0 across our cost variance, and that's that $1 billion cost reduction program and initiatives across 300 sites that we also announced, that is effectively done, delivered more than half of that was banked in 2025. We'll have all of that fully delivered by the end of 2026. That was able to keep the variance at, sort of, breakeven. Would have been even positive, we've got a few quirks in the cost line, those ferroalloys businesses that Gary said that were in care and maintenance pending the tariff relief. They've been in a standing situation. They've been in care and maintenance. We've had to continue to pay workers and the like. So there has been a cost of carry there, compensated somewhat by the high oil prices across the business for some of the expenses get taken there. And we did impair some of our custom smelting businesses last year, the Horne and CCR in particular. So even if you've got CapEx, we have to expense CapEx now, which goes through this OpEx line as well. So that was about $100 million in each bucket. So actually quite pleased with a 0 variance. You've seen EVR. That will disappear as we move forward. This is just reflecting the fact that there was a full year of EVR compared to half year in the previous year. Quite a busy slide, this one, but I think quite useful across all the business to give our cost, volume and profit by key department. I'll spend a bit of time on copper because we have changed a little bit of the presentation format to provide a little bit more granularity around two particular elements. If you look at the -- let's start at 2024, and you'll see what I mean by 2025. We show the unit cash cost. This is after byproduct. If you look at '24, we're at $1.74. This is at the operating asset level itself. So this is the consolidation of all the businesses as they come through, the Collahuasi, the Antapaccay, the Antamina, the African business and the likes. So you've got $174 and then we've had a few areas on top of that, that the overall Glencore business has then had to absorb. There's been the opportunity cost historically of having done streams across the business. It's been topical in the last week or so, Antamina and Antapaccay. It hasn't been a big opportunity cost up until this point. It's starting to bite a little bit more with gold and silver prices the way they are. And we also had divisional overhead in the copper business that was above the asset level. All of that still went through copper, but sort of geographically, it might be worth if we just go to Page 26 quickly. I'll come back. So, we've given the sort of buildup back of the industrial copper. This was showing how our $3.9 billion of $4.1 billion. Historically, we might have been more like $4.3 billion and then we would have had $300 million down in that development projects and other. Because streaming as well as divisional overhead was in development projects and other. And in fact, even when we were here giving our spot illustratives in previous times, we did capture that, which just wasn't captured in the net cost post streams and divisional overhead. So we always had a number about $300 million. We've effectively pushed that extra $200 million now up into the unit cost. And now the only thing that's -- we'll look later on with the spot illustrative, the only thing we've got now in development project other is development projects. The other has all been pushed up into the -- we've used it to sort of reflect the -- both the cost in absolute terms and to look at the unitization of those costs as well. So we'll get back. It will make more sense then as we work through the various numbers, but we thought that was a more transparent and granularity way of looking at the various costs just because it was becoming a number that was more meaningful, particularly on the streaming side of the business as well. So on the copper side, so in 2024, it was really small. We had $0.10 on divisional. That is some of the savings of those organizational and the cost savings that we delivered across the business. On the copper, you've seen we've gone down from $0.10 to $0.05. The team when they did take over, they've effectively moved a lot of what was central overhead across regions, they pushed it down into the regions. And some of that $1 billion was delivered within the copper business and would reflect the $0.10 going down to $0.05. You can see streaming historically very little in 2024 was $0.04 across the business as well. So that was about $75 million or so that would have been in that development projects and other line. As we go into 2025, $1.83 is the cost at the underlying operations. Now to get up to $1.99, there's been $0.11 on streaming. Gold and silver prices have obviously picked up. We have cut overhead on the divisional side, so that's only $0.05. So across those two elements, that's about $300 million, which is now captured in there. Previously, it would have been down in the -- it doesn't change where we get to at the end of the line in terms of $3.9 billion, but we think this is a sensible way to present and to give that granularity around the business as well. And it will make more sense as we look forward, because we show cost '26 and then we look forward into 2028, '29, where our copper business is transforming, both in scale and in cost competitiveness around the business. And whereas the other businesses, zinc, steelmaking coal, energy coal is more steady state over the next 5 years or so. So I think the rest is largely self-explanatory and how that's delivered the outcomes. The progression of $3.9 billion EBITDA in copper will roll into where the spot illustrative, but it's now a $6.7 billion business, slightly higher volume and obviously, better prices. Prices has clearly helped some of these. The zinc was a $2.3 billion outcome in 2023. It's now $2.5 billion spot illustrative. Steelmaking coal, $1.9 billion. It's now also $2.5 billion. Pricing is helping on that based on spot. And energy coal, $1.5 billion, it's still about $1.5 billion. But you can see prices and variances, and I think it's well described. If we look then marketing quickly, we will come back to a number of those slides. Gary has mentioned pretty much where we're at in marketing, down a little bit, but it belies the fact that year-on-year, it's actually quite similar across the aggregate of metals and steelmaking and energy. One is plus 4%, one sort of minus 4%. The base period did have $165 million of Viterra earnings. We stopped reporting that during 2025 because of the sale, which completed in July. So year-on-year like-for-like is actually much closer, but a strong pleasing result, good momentum in the second half, better performance on the energy and steelmaking side as well and a generally good performance. We've got used to those numbers in the 3s. It's still a very solid, very strong, very cash-generating business as well as it converts into cash at the Glencore level as well. If we look at net debt, we stayed still, good result stand still $8.7 billion of our funds from operation, that's EBITDA less interest and tax. Maybe you haven't had a chance to look through the financials, but I'm sure you will at some point. There was a big tax bill that was due, which we think will be -- we've been funding the U.K. government now for a bit of time. There was a $1 billion payment to HMRC for many, many years and legacy payments, you have to pay everything in advance. That's the way it works until ultimately, there's resolutions running through a U.K. Swiss bilateral resolution process around where it is. We expect to get a significant amount of that back. They've taken the most conservative, aggressive position around how they want to send the bill and they have assessment rights that says you've got to pay and you've had to pay. And this was the year of reckoning around accumulation of quite profitable years in the oil business, which is where this particularly translate. So there was $1 billion of tax that does come through that FFO line. It's sitting as an income tax receivable. We expect a significant portion of that given the merits and our conviction in potential outcome there. So that's parked for now. We're lending -- we're sort of funding services in NHS here for a while. So we just, sort of, your thanks is well noted. On the net CapEx, $6.9 billion. We'll look at the slide on CapEx. Investment profile was actually generating. That was primarily the cash portion of the Viterra into Bunge transaction in July, $940 million was the cash. Working capital had a strong reversal from H1. We're sitting here with an outflow of $1.1 billion. It came back $1.6 billion. I'd say there is a bit of a sugar hit in that. I think some of that will unwind in 2026. So the Q4 price pickup accelerating, particularly into the end of the year, did create more of a receivables payables mismatch in favor of releasing some working capital. In a more normal environment, I would expect that some of that will go back into the balance sheet during 2026, but we'll take it for now. Distributions and buybacks, cash was $1.2 billion, share buybacks, $2 billion, dividends to minorities, mainly at Kazzinc, was $0.3 billion in potential there. So how does that translate into distributions and shareholder payments? We've done our normal calculation, $1 billion for marketing, 25% of industrial. That's come to $1.2 billion for the year. And what we introduced as well, and that if you just roll that forward, that says $10.2 billion. Pay out the distribution of $1.2 billion prima facie, you're not quite at your $10 billion. So, that's where we've got deleveraging required, $1.4 billion. This is all on a pro forma 1st of January since that gets you towards your $10 billion, which is our long-term optimum target. But we did create the surplus capital warehousing, which I think is a neat concept around our Bunge stake, where we've said this is subject to lockup and the like that gets released in July. This is something that is non-core for the business. We like the business. We think there's clear value. We're working with the team. We're sitting on the Board. We're supportive. They're performing well within their industry as well. But ultimately, this is going to get monetized in some way, shape or form for Glencore shareholders in whatever structure and form that makes the most sense to us. So that will be something that's going to be part of our thought process over the next year as we take that forward. But there's no reason why we can't already ship some of that out the door in terms of the pre -- sort of preempting and distributing something in anticipation of that eventual monetization. So $4 billion was the stake as of Friday, up already $1.4 billion since the close. So that's performing very well. Conservatively, we said let's reserve $1.4 billion towards the top graph and getting back to $10 billion. But in reality, we've continued to generate cash. So that $1.4 billion is not needed. But just graphically, you say it makes sense, let's just park it upstairs. But the base business continues to generate and then we're going to bring down our debt levels. So all of the Bunge stock is ultimately up for distribution to shareholders in due course. But for the purpose of just now and prudently, we have topped it up another $0.07, another $0.8 billion to get to our $2 billion and $0.17 at this particular point in time. Even with that more conservative, there's still that $1.8 billion, which we wanted to say that still represents 45% of the remaining. So even if the Bunge stock for some reason was to decline in value, there is conservative prudent capital management around how we're setting ourselves up in this -- and we did that, and there was form in how we looked already post close to already do the $1 billion buyback that we did last year was to introduce that concept as well. On the CapEx side, $6.9 billion was the net cash for the particular year. First full year of EVR, EVR is quite capital intensive, particularly during the next year or 2 years, water treatment, some reinvestment in fleet. I think if you look at the detailed sheet, EVR itself is a little over $1.5 billion. It does over the next 3 years, average out to more like $1.3 billion and then longer term tapers down more towards the $1 billion. But year-on-year, it's quite interesting even on the $7.5 billion is what's been capitalized onto the balance sheet, while there's a difference between cash and -- but that's -- there's some leases in there. There was the big lease that we've called out over at Kazzinc, $249 million that was already there at the first half. We've signed, and this is not a multi-20th. This is sort of a 3- or 4-year lease on a hydro facility that we've been operating Bukhtarma in Kazzinc for decades, frankly. And previously, it was an OpEx and now we start had to capitalize that onto the balance sheet. But taking out EVR as well as Kazzinc, the rest of the business like-for-like was actually 10% lower CapEx at $668 million. We've shown a bit of a wagon wheel around where some of that CapEx is. There's a slide later on, which shows it by commodity, by category, where some of the bigger spend that's in deferred strip costs, deferred mining, which is really just capitalized OpEx in some sense. So this is through our big open pit operations. That was the biggest spend, 25% towards the left, that was $1.9 billion. A big part in water treatment, you can see in the sort of one of the blue bars at the bottom. That was $0.9 billion. It's primarily at EVR. They're going through really this year and peaks last year this year and then starts tapering off. There was two very large projects, which Earl is nodding in the background. He's confirming that we should peak out and EVR is going to normalize as we move forward. In terms of CapEx guidance, '26 to '28, no change from CMD, exactly sort of as you were, 6.5 average the next 3 years. And that's including a lot of copper, including the Alumbrera restart, very capital efficient. There's only $200 million to $300 million there in the Alumbrera restart over the next 2 or 3 years. We've also got the zinc business. We've got $450 million of the $600 million for the 80,000 the gold extension expansion, which is both in an open pit as well as an underground sense. So there you've got you sort of -- that business in the absence of that would have been tapering off quite steeply in the next 3 or 4 years. You've got sort of quite meaningful life in the gold deposit, which is kicking in very well at Kazzinc. You can see EVR, $1.3 billion average over '26 to '28, what we expect. That is down from where we were this year. Copper growth projects, we discussed this at the CMD. There's a real bookend of where this could come as we FID and look to bring some of those projects and what the timing sort of makes sense. So there's a hypothetical you get on with Gary's, sort of, chart that he put up there in December when we go up over $2 billion, that's staggering everything at the earliest possible opportunity. You would have had $4.2 billion spend in the next 3 years, but you get to your $1.5 billion pretty quickly of -- $1.5 million of copper. With no FID, probably cumulatively spending $500 million just to buy the land and progress and do the studies and everything else. In reality, it's going to be somewhere in between, and we'll shed light on all that as we work through the business. But absolutely no change on that since the CMD. Also no change in guidance, '26 as you were across all the businesses. This is the chart Xavier, I think, presented at CMD. There's detailed slides 38 to 41, which does shape all the different operations across largely steady across zinc. Nickel steps up with OD being commissioned later on in this year, you've got your 70 towards 80 as you were across both coal businesses over this particular period. And copper, you've already got, although we're flattish on overall copper, the copper business itself actually goes up from $7.52 to the midpoint of $7.85 because we drop copper out of our zinc business, which was the MICO copper operation that did stop production at Mount Isa in the middle of last year. So we do pick up units this year on the copper. And then you've got quite a big increase in '27, that's particularly Collahuasi as that snaps back. And Africa business, even more reinforced by the land package that we've now got was in the sort of 250,000, that's across both operations into the 300 -- about 300,000 next 2 years and then up to 360,000 by 2028. But just if you go back to all the CMD slides, it's all in there. There's no change to anything over there. So in terms of the long layup earlier on around the copper -- copper has got its own slide now on costs, which I think makes sense as we want to roll it forward because it is a business that is in quite a bit of transition growth, and delivery across the business and the cobalt sort of shorter-term impacts that we are having as well. The '26, you can see the $1.85 is now our unit cash cost for determining EBITDA, and that's with nothing below it other than maybe $100 million, just those development projects because we've pushed the streaming impact that $0.24. The reason we've separated it, it's not $0.24, it's not $0.11, it's not $0.04. If it was still $0.04 or $0.11, we might have kept that still down in the other area, but it was just more in granularity and financial buildup. We thought it made sense and transparency just to bring it all in there. So $1.56 is actually coming out of the assets themselves. That's where we would have been but for the streams. The streams have put $0.24 back in there. The overhead is nothing, divisional overhead. So $1.85, still a good cost structure across the business, generating $6.7 billion of EBITDA, which we'll see later on. Direction of travel, which we thought is important by '28, '29, that $1.85 is down at $1.18 and $1.08. Why is it there? Now you've got higher production. Look at those numbers on the bottom right. You can see the step-up in copper production, including from the copper department itself. It tapers off more from nickel, zinc, but copper is sort of growing from the high 700s and then you're at 1 million tonnes 2028, '29. Collahuasi, Africa, those are some of the main contributors, a bit of Alumbrera, some other tonnes, may obviously come through in there. You get the denominator impact. You're starting to get cobalt in our assumptions more normalizing that once you're out of the quota period in '26, '27, we do feel like the market that we haven't assumed that it's just back to kind of cavalier days and as much cobalt comes up. We think it's still going to be tightly controlled to make sure that there's almost sort of a price that works within a band. These are some of the assumptions that we use, which we gave those, I think, in the CMD as well. And then even at current macros and 1 million tonnes in 2028, your copper business is now a $10 billion plus EBITDA business. If you just run same macros, same through that cost structure in '28, '29, it's the most transformative clearly of all the businesses as we look. And this is not in the never, never. This feels like it's tomorrow, frankly, by the time we start 2028. So that's pretty good. Even on the streaming side, yes, it dilutes because of a higher denominator. We've also got Antapaccay stream, by 2028, we've delivered certain volumes that we actually step back up in terms of the percentage of spot gold prices that we get. I think we had 20%. There's a step up to 30%, even 10% of all that starts making a reasonable difference at that point. So I thought useful slide on the copper, it will all figure -- someone's thinking later on. The other -- the zinc, steelmaking coal and energy coal, all fits onto the one slide. Zinc continues to be a massive cash generator with these sort of byproduct prices and volumes that we have a negative $0.48. It's even lower than the CMD number that we put up here given the ongoing projection of macros, we were $0.26. We're now negative $0.48. So there's going to be a tick-up of earnings coming out of the zinc business. And from the two sides of the coal businesses, we've got some cost increase because of currency tailwinds. So to give you some perspective, we've rolled forward Aussie dollar, we were at 0.65 early December, we've used 0.705. The South African rand was at 17.04. It's 15.74. It's weakened a bit. Some of these probably have given back some of their sort of impact. Canadian was at 1.40, it's now 1.35. So like-for-like at the CMD in steelmaking, we were at $118.6, -- we're at $122.9 now. So you're up about $4 a tonne across both steelmaking and energy. That's all currency tailwinds. Not all of that has then found its way into prices. You'd expect some of that to also as cost curves move and respond to some of these prices as well. So Earl and the team, Earl is here, they'll work on making sure that they can continue to manage as efficiently and effectively as they can and deliver some good outcomes. If we then just finish up, we do our spot illustrative slide in the usual format. I think it's useful 3, 4 times a year. We've given production, no change there. We've given updated costs of the copper business now at $6.8 billion or $6.7 billion after. That previously would have been exactly, as I said, we could have cut that as a $6.7 billion less $0.3 billion. But I think this is just a better way of presenting those numbers as well. You get down to the same number, $6.7 billion. That's increased quite a bit since CMD days with copper price I think it was $10,850 up to closer to $13,000 at the moment. To put copper in the overall industrial, we're now getting to 50%. And I saw there was someone that put a slide up the other day. When you start being a 50% copper contributor in your EBITDA, you should start seeing ratings multiple and expansion and interest from our business. We're at 46% and growing back to that previous chart. You sort of roll that forward. We're going to be a copper company at some particular point in time in terms of meaningful progression portfolio shift as we go down. So copper business, zinc has progressed from $2 billion to $2.5 billion. Given progression, again of pricing and metrics, we used gold of $4,200. It's now $4,900. Zinc was $3,000, it's now $3,300. So macro progression. Steelmaking coal is as you aware, $2.5 billion. We picked up sort of $4 in net realization of price and cost of $4 has taken that away. Energy coal is down because of costs having eaten more into it than the price at the moment. But we're still at a reasonable Newcastle, a business that generates quite a bit of money given -- it's in cash harvesting mode. CapEx is quite efficient in that business as well. The other has picked up a little bit. Nickel, of course, prices have picked up a bit. So it was $0.4 billion to $0.6 billion. But it's just part of the other bucket and overall $18.1 billion to $7 billion of free cash flow. So a very healthy start and good momentum across all parts of the business. With that, I'll hand back to Gary to wrap it up.
Gary Nagle: Thanks, Steve. Very comprehensive. We'll wrap it up just a couple more slides. This seem to work here. Okay. Our 2026 priorities, it's not only our 2026 priority, but our priority every year and every day is safety. It's what we do. We need to keep our people safe. Zero harm is what our business is about. Unfortunately, during 2025, we had two fatalities. It's two to many, and we continue to work hard through our Safe Work program, through rolling out new initiatives, to reduce harm in our business. Not to belittle the gravity of having two fatalities. But just to put into a bit of perspective, it is the lowest number of fatalities we've ever had in this business on a fatality frequency rate and on an absolute rate. It's lower than the ICMM average. We continue to trend down from previous years. And I do believe this business will be multiyear fatality-free in the near future. Operational excellence, it's been maybe a topic du jour for the market on us, particularly given last year's first half performance where we believe that we would. And we believed in ourselves that we would meet our full year production guidance across our key commodities. As you know, we did. That's our second year in a row we've done that, and we've started this year off nicely as well on the production side. We've delivered the discipline, the operational rigor that's gone into it from Xavier and his team, and that focus continues. Organic growth, a big part of our business, given our pipeline that we have of projects, continue to derisk and successfully progress all these organic projects along the value curve. We've spoken about the copper ones earlier. We also have other projects around our business like BSOC in Queensland, a great zinc business, which is moving into the feasibility stage. So a number of organic growth projects that we have in our business and gives us those levers to pull at the right time when we want to expand. Balance sheet, Steve spoken a little bit about that. We certainly don't run a lazy balance sheet, but at the same time, we run a balance sheet that is strong through the cycle, being able to generate cash, cash for our shareholders through dividends as well as being able to fund our business going forward. You'll remember the slide that Steve put up in December around our ability to fund our growth projects, organic growth projects, and that's consistent with a very strong balance sheet through the cycle. And obviously, very important is the value creation for shareholders because that's what we're here for. We want to create value for shareholders. We want to deliver predictable base shareholder returns. You'll have seen our capital distribution framework. We keep to that. We top up where we can around our $10 billion net debt target or around the surplus capital warehouse that Steve's introduced over the last couple of years. That allows continual returns to our shareholders, been very exciting. We've returned over $27 billion of returns to shareholders since 2021. And lastly, our investment case. We presented this in December, so we'll just go through it again quickly, just to remind everybody where we are. An exceptional portfolio of copper assets. It positions us amongst the one of the largest. Steve talked about another presentation he had seen. I saw the same presentation. A couple of slides look awfully a lot like some of the slides we put up in December. So terrific. It was well received. It's great. We're very happy with that. And we'll continue to see the growth of our projects up to that circa 1.6 million tonnes of copper and potentially higher, depends how we decide to use all the levers that we have in our business to become one of the world's largest copper producers. At the same time, although copper, a huge part of our business, we still play a strategic role in the energy in needs of today and tomorrow, a high-quality steam coal business. It is the world's leading seaborne steam coal business, no question. Our EVR business, which many of you here in the room were visited through the course of -- was it last year? I think it was last year. Yes, last year, terrific business run by Mike Carrucan, really high-quality business, multi-decade business, low-cost operations, high-quality coal, looking very good. Water treatment plant CapEx coming to an end. I'm going to ask Earl to give a detailed presentation on water treatment plants later, but very good business. And given the quality of that material, something that's going to be needed for many, many decades to come. At the same time, right here in this building, we continue to grow our energy trading business, LNG, carbon power. That marketing business is a strong contributor to the energy earnings in the business. Our marketing franchise around the world, one of the best across multi-commodities, multi-geographies. For 50 years, we've been doing this. It allows us to arbitrage. It allows us to take opportunities in the market that others don't see because of the fact that we have such a big network. We're across the production side, the third-party side, sales, blending, freight, you name it. It's unique. We're the only major mining company that has this kind of franchise or has this kind of business unit. Year in, year out, it delivers something very exciting for our business. It's underpinned by a number of key strategic marketing assets that help us generate those high IRRs in the business. The operating structure, it's optimized, it's simplified. Xavier spoke a lot about it when he was here in December, standing at this lectern. Jon Evans spoke about it. And you see how that is actually delivering. Costs down, production up, safety getting better. So it's all putting -- sending us or putting us in the right direction around having -- making sure that we are a reliable operator, delivering on our guidance. And then lastly, what does it all lead to? As I said on the previous slide, it's about constant focus on value creation for shareholders. We're here to make money for our shareholders. That's our job. We want to do it reliably. We want to do it safely, and that's what we're doing. Over $27 billion of announced shareholder returns since 2021. Steve spoken again through the -- how we get to those numbers. There's additional cash generation coming out of the business at spot cash -- at spot free cash flow, the numbers Steve spoke about a couple of slides back, that places us very strongly to be able to continue delivering cash to shareholders while still servicing the organic growth options in our business. And with that, we'll go to Q&A.
Ian Rossouw: Ian Rossouw from Barclays. A couple of questions. Firstly, just I guess, Steve, you briefly sort of touched on it, but obviously, we've seen a big dislocation in copper -- what markets are willing to pay for copper companies versus diversified miners and particularly those with bulk businesses such as coal and iron ore? You've asked your shareholders 1.5 years ago whether they should -- you should spin out the coal business. They said, no. Do you think it's time now to ask them that same question again?
Gary Nagle: Ian, it's a two-way discussion. It's not only us asking them, it's them asking us or ultimately shareholders own the company. Of course, we own the strategy that we present. We've had zero incoming around an interest to spin off coal. They see the value of the coal business. I just spoke about the quality of both the steelmaking coal and the steam coal business. The fact that the world now is recognizing the importance of having cheap baseload power as we transition over decades. The world recognized the importance of steelmaking coal, and it's not going away for many, many decades to come. There was a sort of a euphoria back in the early '20s around, well, we can get rid of coal, we don't need coal. And shareholders value the fact that we have these terrific businesses. They're hugely cash generative. They are a bedrock for these $27 billion of returns. And we haven't had any incoming or any questions, in fact, for -- since that decision was made in July '24, I think, August '24. Since that, I can't remember in any engagement with any shareholder an inquiry around spinning of coal. As we've always said, if the shareholders want us to spin off coal or want us to reinvestigate it again, that's up to the shareholders, but we've had zero incoming.
Ian Rossouw: Okay. And then just a follow-up on the DRC. Firstly, just on this MOU with Orion. Do you mind giving us -- could you give us a bit more details on that? Just what the cash flow impacts could be once that is approved? And then secondly, just on this land access. Obviously, this is 7 years from the previous deal. What makes this different? Some of the terms, I think you -- just how some of the terms changed versus the 2019 deal as well?
Gary Nagle: I'll let Steve take the first one. I'll do the second one. It's predominantly the same terms. It was -- it's changed structure. This was meant to be an acquisition of land. We paid some money upfront, and then the remainder of the money was going to be paid once we acquired the land. It turned out that Gecamines, despite their best efforts, were unable to sell us the land under some various regulations and issues in the DRC. So what we've done is we converted to a long-term lease agreement, where the same financial impact instead of paying for the land, we're going to lease the land. It's the exact same financial impact as we would have had if we bought the land. It's the exact same access rights that we have. It's for the life of the mine. So it doesn't expire in any course of the mine. So like-for-like, it's virtually exactly the same. We just won't own the land, we'll lease the land, totally unencumbered, full for our use, no issue with that. So it's effectively the same deal.
Steven Kalmin: So in terms of the -- it's still early days, Ian. I mean, I would generally position it as if there's the EV of number, it's been put out at $9 billion. Obviously, it will be what it is. And ultimately, it also -- there'll be an allocation ultimately between KCC, Mutanda. There's different ownerships clearly, in those businesses. I think our effective realization, monetization, value unlock or creation will be our sort of whatever share of our attributable share of those businesses. So whether, yes, there's debt and equity and the likes. I think it's too early to know exactly how that's all going to shape up because it is early in the MOU and DD is going to commence in the structuring, and we need to get the accounting right. I mean, there could be changes in how we account for these assets as well. And again, depends on the sort of governance and operating, we'd certainly continue to operate. This system, Orion, is not an operating company, but 40% is not 0. It's a meaningful stake in these businesses and what sort of partnership and what rights and how that will work. So none of that sort of really left the starters gate in any meaningful sense. So we'll sort of come back and that will sort of shape out both in a cash sense, accounting sense, deleveraging sense, commitment sense. There's a whole -- a lot of wood to chop as someone said the other day on a different transaction.
Martin Fewings: Jason?
Jason Fairclough: Jason Fairclough, Bank of America. Guys, for a couple of weeks there, a few of us got excited about a $300 billion EV company in the sector. And then it hasn't happened. So I don't know if you're willing to share anything. It sounds like it was value at the end of the day. But I guess the fact that this hasn't happened, how does it change your plan A?
Gary Nagle: Look, yes, it was value. Ultimately, that's what it came down to. It has to work for both sides. It didn't work for both sides. So that's fine. I mean, it was a good interaction. Simon is a very decent guy to work with, good team at Rio Tinto. So -- but we couldn't reach agreement on value, and that's fine. We look after our shareholders, they look after their shareholders. In many cases, shareholders are the same. But different views, who knows what the future brings. From our perspective, we could -- this is not a deal that we had to do. A deal that we'd like to do, and we would like to -- we would have liked to do at the time because we did believe we could create a $300 billion mining company, relevant, unbelievable assets, unbelievable projects, unbelievable management teams, that's what we wanted to create. But without that, Glencore is an unbelievable company. You've seen what we presented today, you saw what we presented in December. We have what we believe is the best pipeline of copper growth projects in the world. Our existing portfolio going up back to 1 million tonnes by 2027, 2028, a terrific copper business. As Steve says, copper is becoming a much bigger contributor on an EBITDA basis in this business than anything else. Backed up by a terrific coal business. We've spoken at length about the coal business, the best-in-class and biggest and best steam coal -- seaborne steam coal business in the world, what I believe is the best steelmaking coal business in the world, given it doesn't suffer from the royalties that Queensland does and some of the weather conditions that they do -- that they suffer in Queensland. What I believe is the best steelmaking coal business in the world. And marketing franchise that's second to none. And then we have all the subsidiary businesses, which are real contributors, alloy, zinc, nickel, real contributors. So for many, many decades ahead, the business case for Glencore as a cash generative, returns to shareholder business is incredibly strong, and the re-rate potential continues right there as we develop our copper business. So this is why this is not a deal that we had to do. It was a deal that would be nice to do on the right terms for our shareholders on the right terms to everybody. We couldn't reach agreement. So we continue running our business. And if another opportunity comes to us where we can create a big mega major miner on the right conditions for our shareholders, we would look at that.
Jason Fairclough: How do you address investor concerns on your credibility in terms of executing on these projects?
Gary Nagle: The copper projects? I mean, if you go through the copper projects and there's always risk around execution, I agree with you. And every mining company has messed up projects. It doesn't matter who you are. You can name them all. We're included, Rio Tinto, BHP, Anglo, Teck, you name them. We've all messed up projects. So that's what -- that's unfortunately the reality of life. When you look at our projects, and we went through and we had talked about this before. Fortunately, most of our projects are brownfields. They're expansions of existing operations, whether it be Coroccohuayco, which is just a new pit or in Quechua in the case of the land that we just bought, either Coroccohuayco or Quechua. It's a new pit connected to a concentrated plant a few kilometers away. That is earth digging. It's not new concentrators, it's not new projects. MARA, same thing, a little further away from Alumbrera, but you know Alumbrera very well. We're restarting Alumbrera. That plant that we -- Steve and I have spent time there. It's in superb condition. We'll start Alumbrera. It's connecting another new pit to Alumbrera, a bit further away, a little bit of civil works, but that's something that is much lower risk than the traditional greenfield project. Mutanda sulfides, same thing. The business is operating. It's a brownfield expansion of that business. Collahuasi fourth line, well, there's three lines next to it. It's the fourth line expansion of that. So the bulk of our business, the bulk of our growth projects is brownfield, low capital intensity. Of course, we need to make sure that we're skilled, resourced, properly set up to execute on these projects. The one that isn't is the greenfield, which is Pachon, it's an unbelievable resource, and it has to be built. And there are a number of ways we can do it. We can partner up with another mining company just on the other side of the border, a terrific mining company. We would love to do that. That derisks it materially. We will bring in a partner for their project. And who their partner is, when we choose our partner, how much, that's to be determined. But we would like a partner that has execution skills. And in fact, not only has execution skills, but we'll back up the execution skills where they'll take a disproportionate share of the risk in execution. And we see companies doing that now. We're dealing with companies in Indonesia, for example, right now, who are prepared to underwrite brand new projects, TAM, capital, quality of the assets. Now we can bring in a partner like that to say, they'll take a disproportionate share of the execution risk in return for certain returns or certain amount of equity or whatever it may be. That's a very nice outcome for us. It massively derisked the project for us instead of saying, "Oh, today, I've got a great project building team, and I'm not going to be like every other single project that's been built in this mining industry before." We're not going to do that. That's not going to make sense because for us, we've seen what happened. My predecessor hated greenfields, I like them a little bit better, not much better, just a little bit better, but I'm certainly not going to fall into the same trap that every other mining company, including ourselves, has done before, and we will derisk it materially to make sure it gets done properly.
Martin Fewings: Chris?
Christopher LaFemina: It's Chris LaFemina from Jefferies. Maybe a question, Steve, for you. On the working capital variability, you obviously are very sensitive to changes in commodity prices and in a rising price environment. It's impressive that you had a working capital cash inflow in the second half of the year. But first question is how much of that unwinds, you said some of that would unwind over the course of 2026. And then secondly, as the business grows, should we expect working capital to continue to build? And is there anything that you can do to manage that, like account receivable factoring -- or what do you do to stabilize the cash flow impact from working capital in a growing business that's very leveraged to changes in commodity prices, which are highly volatile?
Steven Kalmin: And the -- I mean, working capital is volatile and fine. And many of those sort of initiatives that you said we do, whether it's sort of receivable discounting. And we have payables rough sort of days turnover about 40 days and receivables is about 20 days, so you have a mismatch there. But then that's also a float that's funding longer-term prepays in some other parts of our business where we do target to have a marketing balance sheet that's basically receivables, less payables or non-RMI is basically balanced, and then you have the RMI. The big impact of working capital in both the growing business higher prices is going to be in RMI, because the other two can largely offset each other within the business itself. So you've seen it happen now from '25 to '28. That was all prices that pushed us up. So then it's not a net debt factor in terms of how we look at the RMI. This is all the hedge, the nickel in warehouses, the copper in warehouses, the oil that's sort of moving from A to B. That's very fungible in a very sort of short period of time. So that, I mean, that's a good problem, if you can even call it that. So that's just a funding. It's not equity capital intensive. It's working capital-intensive. It doesn't have a net debt impact. We have over $10 billion of liquidity. Our entire balance sheet is largely -- it's pretty much all unencumbered. We would have no problem funding another $5 billion, $10 billion. I mean, just to pick any number, if it was about RMI and working capital, I mean, maybe at some point, you would start saying those sort of sizes are starting to get sort of a little bit big. I mean, fine for us. But just as a sort of third party do you say, well, okay, your RMI is now $35 billion. Is there a level at which the sort of size of the gross and netting is just a little bit too high? Maybe. But I mean, at that point, our $18 billion of EBITDA is probably $25 billion of EBITDA and your $7 billion is $12 billion, and your share price is 25% higher because you're generating so much cash. So this is a sort of a side show, probably in terms of working capital in the business. And I suspect in that environment, our marketing earnings are also going to be higher and you're proportionately getting the sort of returns on that. So it's really about watching RMI, funding RMI, I'm pretty confident around receivables, payables that can be managed. You do have volatility within particular periods. That's why I said there was arguably towards the end of the year, I'm not claiming that as permanent. It was a bit of a sugar hit in terms of sort of release. And I think all things being equal, one should assume that, that's going to probably be returned back to the balance sheet in '26. It doesn't have to be, but I think that's probably a prudent projection for '26 is that there's going to be a little bit of working capital going back out.
Martin Fewings: Matt.
Matthew Greene: It's Matt Greene at Goldman Sachs. Steve, perhaps one for you. Monetizing infrastructure has become a bit of a theme. I think this report is, and you would have seen in some of those presentations of your peers, we're now seeing absolute numbers and targets being placed on this and some interesting structures out there. Steve, I asked you at your CMD and your interims, I can't recall which one it was, you said you had private capital banging down the door. On your infrastructure, I think you referred to Collahuasi water treatments. So perhaps hoping third time lucky, can you give us some indication of what you're looking at? Is this -- and I appreciate your peers are looking at non-core asset sales as well. I'd like to isolate this into infrastructure. Are we talking a couple of billion dollars, are we talking $10 billion? Any sort of color you could think about?
Steven Kalmin: I mean, these discussions are clearly more fertile and you're seeing outcomes that sort of translate into concept into actual announcements. And we have had some discussions and some indications. And this is across infrastructure. I mean, of course, I mean, streaming aside, let's park that, there was obviously a big announcement in the last -- in the last 3 days. And some of -- whether it's Collahuasi, whether it's even at EVR, some of the water treatments, some of those sort of facilities. For us -- and I think I said it back in December, we would entertain. We just need to -- they've got to sharpen their pencils. That might have been an expression that I used back then, and I still maintain that. So we would be a willing partner on the other side on terms that sort of made back to saying, well, widened some bigger M&A discussions has got to be on sort of the economic terms that make sense. So we would be a willing partner on some of these processes for the embedded returns that we're giving up in terms of them being able to sort of annuitize those if it was on better rates for us. So it purely comes down to when there's a price and a structure that makes sense for us, we'll do it.
Matthew Greene: So would you look at infrastructure within the group, would you say the water treatment is the price?
Steven Kalmin: No. There's a variety of things. It could be all infrastructure. It can be -- the water treatment is a thing. I'm just sort of throwing it out there because there's been a lot of money that's been spent. That's a good jurisdiction. It's Canada, some of the team there have looked at it. You can pick their brains on it, maybe during the coffee break or whatever the case may be, they have looked at some of these things with various other things, Collahuasi. And again, maybe once it's up and like the desal pump gets up and running, I mean, your pricing also, depending on that risk sharing and these things, and once something is actually up and operating, you tend to get better pricing than during a construction and a risk-sharing phase as well. So maybe it lends itself down the track. But I wouldn't say these are -- I mean, these are certainly multibillion opportunities. I wouldn't say $10 billion, but single multibillion-dollar opportunities.
Matthew Greene: That's great. And Gary, your opening remarks, you suggested you may put back coal volumes. Could you please expand on what options you're exploring?
Gary Nagle: Matt, we've always been willing to be supply disciplined in a market that we see is oversupplied. Certainly, you saw what we did in Cerrejon last year, very successful cutback. And we believe, in fact, after that cut back, the market did react. Was it all us? You'll never know. But we certainly were a catalyst for that reaction or that market or the market reaction. Now, where we will look at now, we see what's happening in Indonesia. We don't know yet how these cutbacks or export restrictions will work, which qualities will impact. Given that big business we have in Australia, that will be probably your natural one to look at throttling. If we decided to throttle the business, Australia would be something, and it's always on the table for us. Because if we see a particular quality or a particular market is oversupplied, given our size, given our scale, we can pull some of that back if we see the opportunity.
Matthew Greene: It's more on energy coal versus steel making?
Gary Nagle: Yes.
Martin Fewings: Myles.
Myles Allsop: Myles Allsop, UBS. Just a couple of questions. Maybe for Steve. First of all, this time last year, when we were looking at your illustrative spot free cash flow of $5 billion, it turns out at $1.5 billion. And obviously, coal prices were the big step down, but then copper offset but didn't come through because of cobalt and stuff. When you look at the $7 billion illustrative free cash flow today, where do you see the biggest risks? So whether we actually see that flow into shareholder returns this time next year or whether there's going to be -- kind of is it commodity prices? Is it on the cost side? Where are the risks on that?
Steven Kalmin: I would say, commodity prices, Myles. Back to those sort of variance analysis, it's -- I mean, cost fine. I mean production, of course, you need to sort of get there. Marketing is in the middle of the range there as well. We've been -- generally being there or thereabouts or even increased sort of over the time. This is in a notional interest and tax also. I mean it's actual interest, but tax is a little bit notable. Last year, we were hit with that tax. So the $1 billion U.K would have not been something I would have necessarily positioned for and put in the number at the beginning of the year last year. So that would have impacted the thinking at the beginning of the year. There's nothing like that, that -- I mean, if anything, some of that could come back. I mean we have a big sort of tax receivables now across a couple of jurisdictions, U.K. being the biggest one, some of that in the next year or 2 years, it's kind of come back. It's not a multiyear sort of proposition. But that's kind of below EBITDA. CapEx, it's an average of 3 years. I mean, you can sort of have swings and roundabouts a little bit if we've said the sort of $6.5 billion, this year $6.7 billion, and the next year is $6.3 billion. So that takes $200 million out in the short term. But confident around the average. But ultimately, pricing is going to dictate sort of 90% of the variation there.
Myles Allsop: And maybe just on Kazzinc has been in the headlines as potential sort of simplification, disposal, cash return? What's the latest with Kazzinc? And is the value of the gold getting recognized by potential purchases?
Gary Nagle: Kazzinc is a very good business. It's a core asset for us. But we've said before that if there's a transaction -- I mean, we have been approached previously on Kazzinc and recently, in fact, on Kazzinc as well. And if there is a transaction that -- and a value, along with sharing in gold earnings, of course, who knows where the gold price will be. I mean it's -- it goes to Steve's point in commodity prices. If there's a sharing of that gold price earnings and it makes sense for us and the value was very good for us, we would think of divesting. But that goes for any other asset in our portfolio. It has to be something that really makes up -- makes us set up and look at it. It's not an asset that we're out there selling or that we want to sell. But if there's a good value proposition around that, gold price sharing and any other marketing benefits that come with it, we would always consider it.
Martin Fewings: Liam.
Liam Fitzpatrick: First one on Bunge. I know you can't say when or how you're going to get rid of it. But do you think this time next year, you'll still own those shares? And linked to that, do you hope to return the buyback at some point this year?
Gary Nagle: I would say, it's hard to say, Liam. I mean, it will come down to what opportunities they are. We want to maximize value on for those -- for that stake. The lockup is until July 2. I don't think anyone should expect us out in the market selling these shares on July 3. We will work very closely with Bunge and Greg Heckman. He's running a great business. You see how their share price has reacted because of this transaction that we've done with them. The synergies are playing through. Steve pointed out, I think those shares are probably mark-to-market in our book today value to $4 billion. So we would do something that made sense at the right time for both Glencore and for Bunge, whether that's this time next year, if it's in our books or not. Don't know. We're in no rush to sell it. We're in no rush to exit the stake. What we have said is over the short, medium, long term, it doesn't make sense for Glencore, a mining commodities marketing company, to own 16.5% of Bunge. That doesn't make sense. It's a terrific company, terrific valuation. We want to be able to return that to shareholders in a disciplined and correct manner, and we will choose the way we do it in the timing to maximize that value.
Liam Fitzpatrick: And then just a follow-up on Collahuasi QB. It's a very -- potentially very capital-efficient project. Any progress, changes in thinking on that?
Gary Nagle: Potentially, we do have our own route that we can go. We've discussed that we've now approved the feasibility study for the fourth line. We've yet to receive a proposal from Anglo. So until that, we continue down the road of the fourth line.
Steven Kalmin: Or from AngloTeck. I don't know the other piece yet.
Martin Fewings: Alan?
Alan Spence: Alan Spence from BNP Paribas. A couple of questions on the dividend. Interested to hear on the top-up portion of it, why you elected to make it a special dividend rather than a buyback? And then as we think about that surplus account, should we consider Century Aluminum being in there to be wound down in due course?
Gary Nagle: I'll take the second one first. Century, I mean, Century is a very good company, and we want to retain a meaningful stake in Century. We are not looking to sell out to Century. So whether we stay at where we are or we move around a little bit, that's to be seen. But certainly, we wanted to retain a meaningful stake in Century. As I said, great business, Jesse runs a good business there. They're building a new smelter in the U.S. Midwest premium is very high, generating cash, good business. So I don't think you could expect us to sell out -- you wouldn't expect -- we were not looking to sell out our entire shareholding in Century. With regards to the top-up and buybacks versus cash, we've done a lot of buybacks, and we get a lot of feedback from our shareholders, and we've taken on the feedback from our shareholders. And we've tried to, over time, get to a position where we're trying to please most of the shareholders most of the time. You can't please all the shareholders all the time. We all know that. And we're trying to get, as Steve rightly puts it a Goldilocks solution. We've done quite a significant amount of buybacks over the previous years. Shareholders, some shareholders have sort of said, well, hold on, don't forget us. We want a bit of cash. So we've tried to pivot and get to a bit of a cash position now. But buybacks remain firmly on the table for us. We're just trying to get to that Goldilocks solution to please as many shareholders as we can.
Martin Fewings: Dominic?
Dominic O'Kane: Could I just ask you about the conversations you're having with Orion and the U.S. International Finance Corp.? Does that open up other opportunities for you within the group? Are you having conversations there about -- that they're coming in at different partners at different assets? So how -- does that open up a broader future relationship with the Glencore Group?
Gary Nagle: Yes, it does. I mean I was in D.C. to sign this MOU 2 weeks ago. At the same time, we had discussions about Project Vault, which we're part of. We had discussions about a number of other opportunities with the U.S. government and with various other counterparts. Certainly, the U.S. is very active in doing -- in getting involved in critical minerals around the world. Where there's an opportunity that makes sense for us, a number of them are coming to us. I had a couple of calls from someone yesterday on a new opportunity. If it goes somewhere, great, if it does and doesn't. But there's certainly the flow of opportunities, the flow of ideas, whether it be Bolivia, whether it be Peru, whether it be Venezuela, whether it be DRC, whether it be Kazakhstan, we're seeing a big flow of opportunities, and we'll pick and choose the ones that make the most sense.
Martin Fewings: Ben?
Benjamin Davis: Question -- well done on the land access, finally getting it. Just wondering how much of the deal with the Orion, how much with the U.S. was a factor in helping that getting it across the line finally?
Gary Nagle: Zero.
Benjamin Davis: Zero. Okay. And then also land access, you mentioned you've got options at Coroccohuayco, MARA. Have you -- is land access issues totally sorted or what are the mechanisms there?
Gary Nagle: Yes. The gating items from MARA is not land. The gating item is environmental approvals and various other approvals around and getting our trade or studies have betted down around how we're going to access the tunnel. Are we using trucks, are we using conveyors, all those sorts of things. Those have progressed quite a lot in the recent months. We'll be bedding that down, I think, in probably the next 6 or 7 weeks, then we can progress to feasibility. That allows us then to have a definitive application around those environmental permits and other permitting that we need to be able to start that construction.
Steven Kalmin: And get the one community over the line. There's one community.
Benjamin Davis: On Century, they are a JV partner in one of the big greenfield projects in the U.S. and the size of the project is vastly disproportionate to their market cap. So in terms of funding, and is that a consideration in your -- consideration of the stake sale in Century? Or is that completely an independent decision?
Steven Kalmin: Independent decision.
Benjamin Davis: For Century? And just...
Steven Kalmin: I mean, I'm not across the details, but I don't think that they're going to be committing huge amounts of their own equity to this project, from what I understand, but...
Benjamin Davis: And then just a clarification on the streamings around Antapaccay. Does it include the Coroccohuayco and Quechua sort of lease areas or it doesn't?
Steven Kalmin: It does not on Quechua. It does on Coroccohuayco. But by the time that, that's in play, we would have then stepped up. So I said one of the slides I sort of spoke to the fact that we would have delivered a certain number of ounces already at that point, and we will at least step up in terms of our participation in the spot market. But yes on Coroccohuayco, no on Quechua.
Benjamin Davis: And then just lastly on streaming in general. Obviously, with the benefit of hindsight, the deal was not great at -- but then does this kind of put you off streaming altogether? Or is there like a time where you say, "I just want higher participation, and I'm willing to stream a small proportion as long as I get a meaningful upside from the gold or silver streams in assets like a zinc in the future."
Steven Kalmin: There's so many things in hindsight, one can say good decision, bad decision. I mean we've done some fantastic things and some things you say that in hindsight. Obviously, at the time, it was fine. I mean, I'm not sure people would have quite projected gold and silver necessarily to come where they are. That's not our core business. It was having sold a -- effectively a gold or a silver mine, what's Glencore doing in gold and silver back in 2015, '16 when there was kind of the rest of the business and what looked like a pretty sort of good price in terms of sort of discounting at the time in hindsight, whatever. But you can point to parallel sliding doors where we had that money and then what have we done with that money, and how you invested and the whole Bunge sort of transaction and Viterra and that did its thing and then you bought MARA, you bought out minorities in MARA, and you were doing all sorts of things with the money on the site. So okay, you got to run two different parallels. So I think we've got enough streaming on the books at the moment. I think back to Matt's point, I'd probably rather do the infrastructure plays for now. So that's probably where we've sort of prioritized the more kind of sort of non-traditional financing revenues.
Martin Fewings: Alon?
Alon Olsha: Alon Olsha, Bloomberg Intelligence. Just firstly, on the DRC, it sounds like the government there is looking to enforce rights around local ownership. If you could just talk a little bit about that and what this deal with Orion, if that mitigates any risk around that? That's the first question.
Gary Nagle: Yes, Alon, we don't believe that -- we don't believe that impacts us. That's for new mines and new concessions issued post the new mining code from 2018, 2019, I think it is. Ours is existing operations from before, so it doesn't impact us.
Alon Olsha: Okay. And then another kind of more strategic question. You've spoken about the need for scale in mining, kind of to become more relevant, a big index representation and all the benefits that brings. But it also brings kind of a lot more complexity as well. Not every deal is going to bring the kind of operational synergies investors are looking for. So kind of how do you think about the trade-off there in terms of scale and relevance, which was historically not really a motivation to do big deals, but has become now, versus the kind of complexity and downsides of bringing two businesses together that may not have the level of operational synergies to kind of justify some of the premiums?
Gary Nagle: Yes. I think if I just look at our experience recently, operational synergies are important, but they're not the only source of synergies. We spoke about our marketing business, for example, the best-in-class marketing business. That provides meaningful synergies across businesses. Whoever we did -- if we ever did a transaction with somebody or we did a transaction, that's meaningful value creation. And that's not necessarily at the expense of a customer. That is just the way we run our marketing business, which just optimize logistics, optimize lending, arbitrage opportunities, just taking advantage of dislocations. That's not going to a customer and saying, okay, now we have more volume, we want to charge you higher price. It's not that. It's certainly not that. And given what we do in marketing, so many mining companies, they trumpet that their operational excellence. Today, we trumpet it a bit of ours. They trumpet the operational excellence. But what I do see. And from my experience sitting in joint ventures with other mining companies, you can sit through mine numbing presentations for hours, learning about how wall can be adjusted by 1/4 of a degree and it's going to save you $0.04 of BCM. But nobody pays that kind of attention in the rest of the industry to marketing. That's what we do, where we can save sense on freight, sense on logistics, sense on port use, sense on storage, blending opportunities, having qualities in the right areas of the world. We bring that to any other mining company. They do not have that in their businesses. Yes, they sell their product. And in some cases, they said it reasonably well, not always that well. So that's a huge part of synergies. There's another part of synergy. And I mean if you look at AngloTeck, a big part of their synergies is just the fact that you've got two head offices and two this and two that and two HR managers and all those sorts of things, operational head office or overheads, procurement, all these sorts of things. So there's no -- if I look at our recent experience, operational synergies are not the big ticket item. It's in fact, everything else where you can do things better, you can buy trucks better. You can sell your product better. You can have better -- less head offices, all those sorts of things or less offices, less people, less things and do things properly. So I think that it's not about -- you have to have two mines next to each other that we can integrate, and that's why we should do a big M&A transaction. No, there's huge amounts of synergies that come stand-alone even with very little operational synergies. So to me, I still think it makes sense, comes with a rerate, synergies plus a rerate and a rerate on those synergies, I think there's still opportunity.
Martin Fewings: Patrick.
Patrick Mann: Patrick Mann, Investec. Just one clarification on the Orion investment. I'm assuming that goes to Glencore, it's not primary proceeds being injected into the Africa copper business. So I just wanted to double check. And then the second question is across the industry, we're seeing companies approving or putting on the fast track path copper projects. At what point or is there a risk we get to the point where the industry sort of runs out of capacity to build these projects or at least we start to see capital inflation because there's just not enough EPCM, there's not enough concentrator components and parts and the engineering skills required. Is that a risk that you're seeing on the horizon? Or is it too early to say?
Gary Nagle: Certainly, for us, we don't see that risk at the moment, too early. As I said, take MARA. MARA doesn't need to concentrator components. It needs someone to drill a hole through a hill. That's what we need. That's fine, that we can do. Same for Coroccohuayco, doesn't need -- yes, it's an upgrade of the plant, but it's not -- we're not building a brand new plant. You could say the fourth line does need a new concentrator. We're only starting that feasibility now, but we've seen no headwinds around procurement of being able to bring in the skills or the plants and equipment.
Patrick Mann: I was thinking more around Argentina, you've sort of got this copper rush with 3D and everybody piling in at the same time.
Gary Nagle: Yes, of course. I mean, BHP will build the Vicuna district and First Quantum will build their operation Taca Taca, and we'll build ours. We're approaching it, as I said differently. We're looking at derisking it materially. And those issues that you raised, if they become issues at the time, of course, a part of that decision process for us around who we choose as a partner and how we execute on the project.
Martin Fewings: Okay. With that, we'll finish the Q&A and pass back to Gary for closing remarks.
Gary Nagle: I don't really have too many closing remarks. I just want to say, thank you very much. I appreciate the questions. We're always available. Martin and the team is available for follow-up questions. Otherwise, thank you very much for your time.